Operator: Greetings, welcome to Mammoth Energy Services First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note this conference is being recorded. I will now turn the conference over to Rick Black with Investor Relations. Thank you. You may begin.
Rick Black: Thank you, operator, and good afternoon everyone. We appreciate you joining us for the Mammoth Energy conference call to review first quarter 2022 results. This call is also being webcast and can be accessed through the audio link on the Events & Presentations page of the Investor Relations section of mammothenergy.com. Information recorded on this call speaks only as of today, March 9, 2022. So, please be advised that any time-sensitive information may no longer be accurate as of the date of any replay listening, or transcript reading. I would also like to remind you that the statements made in today's discussion that are not historical facts, including statements of expectations, or future events, or future financial performance are considered forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We will be making forward-looking statements as part of today's call that, by their nature are uncertain and outside of the company's control. Please check today's press release for additional information on our disclosures about forward-looking statements. Actual results may differ materially. These factors and other risks factors are described in detail in the company's filings with the Securities and Exchange Commission. Management may also refer to non-GAAP measures, including adjustments to net income and loss and adjusted EBITDA. Definitions to these non-GAAP measures and the reconciliations to the nearest GAAP numbers can be found at the end of today's earnings release. Mammoth Energy assumes no obligation to publicly update or revise any forward-looking statements. And now, I would like to turn the call over to Mammoth Energy's CEO, Arty Straehla. Arty?
Arty Straehla: Thank you, Rick. And good afternoon everyone. I'll begin with a review of the first quarter of 2022 and an overview of each of our businesses. Following that, I'll touch on the macro trends that continue to emerge, we believe the trend lines look positive for our business across the board as we head through 2022. I'll then turn the call over to Mark to review our financials in more detail. We maintained positive top line momentum during the first quarter which we believe is trend that will continue into the second quarter and back half of 2022. In our Well Completions and Drilling Services segments, utilization rates and pricing continue to increase largely due to the favorable commodity pricing environment and elevated activity. Similarly, strong industry tailwinds persist in the infrastructure space where we continue to compete for new MSAs and project work. During the quarter, revenue contribution from our Infrastructure Services segment increased as a percentage of our total revenue and we see an increasing number of opportunities in this segment. I'm proud of our team's commitment and hard work to mitigate the myriad of headwinds in today's challenging economic environment as we remain disciplined with our capital spending to continue to improve Mammoth's cost structure and focused on enhancing value for our shareholders. We're seeing ongoing improvement in our infrastructure business, which becomes cash flow -- which became cash flow positive exiting 2021 and has continued that trend in the first quarter of 2022, the overall infrastructure backdrop remains strong. In addition, the passage of the Federal infrastructure bill last fall will continue to strengthen the opportunities available in the infrastructure space for years to come. We anticipate the federal spending to begin fueling project lettings across the sector later this year and into 2023. At Mammoth, we're focused on operational execution in the infrastructure space, with multiple service offerings, a broad geographical footprint and talented and motivated business leaders contributing to the company's gaining greater momentum in this large and growing market. The opportunities we see in this area especially around fiber maintenance, and installation contracts and MSAs are encouraging as we progress through 2022. Funding for projects in the infrastructure space remains very strong. Mammoth will continue to pursue opportunities within Infrastructure Services as we strategically structure our service opportunities for growth in both the geographic footprint and the depth of projects. The need across our country to improve infrastructure is critical from repairs and hardening, to modernization of electrical grid and the necessary shift towards renewables. As a result, bidding levels continue to be robust. Mammoth's vertical integration of service offerings through engineering, procurement and construction EPC capabilities as well as our manufacturing and equipment refurbishment facility continues to differentiate our offerings to infrastructure project needs. We believe these capabilities along with our ability to add additional infrastructure crews with nominal CapEx requirements will give us a competitive advantage going forward. In addition, having vertically integrated services and equipment manufacturing capabilities will be a key component to scaling operation and controlling costs. We continue to believe that our vertically integrated infrastructure offerings have tremendous growth potential. In our Oilfield Services business, improved oil and natural gas commodity pricing continues to positively drive the industry with increased equipment utilization. This is currently occurring at a more measured pace than we've seen in prior cycles. We operated two hydraulic fracturing fleets exiting 2021 and added a third fleet to operations in April. The line of sight on our frac calendar is also improving and we have better visibility through the end of 2022. Additionally, in our sand business, pricing remains solid and looks to stay that way. As these sectors continue to rebound from the significant economic impacts over the past two years, we're beginning to see more positives in terms of activity, pricing scheduling and new inquiries, particularly focused on the back half of this year. We believe our diverse portfolio and ability to adapt quickly to changing environments positions us well in these segments. Moving forward, we continue to see improved macroeconomic trends that we believe will drive increased demand for our two largest business segments, Well Completion Services and Infrastructure Services. Turning now to an update on PREPA. These unpaid funds are hurting the ability of Mammoth, which employs over 860 Americans nationwide in more than 200 in Oklahoma to expand and conduct business. Congressional leaders and local mainline officials have recognized our utility crews who have responded to subsequent natural disasters. Given the vast amount of American taxpayer dollars on the line, it is the role of Congress to ensure accountability and transparency. Congress must push the fiscal control board to act and to hold PREPA accountable for the contractual and financial obligations. The implications are equally enormous for the people of Puerto Rico as it emerges from bankruptcy. Interest piles up on the unpaid bills of more than $3.3 million each month. If the island is to turn the page from this financial challenges, it must clear the decks of pre-existing deaths. We are working diligently with congressional leaders to reach a fair resolution and remain -- we remain confident that the successful work we performed during the time of crisis and national discovery disaster recovery should be and will be paid to the company. As you will recall last quarter PREPA filed a motion for an order approving a settlement agreement with Whitefish Energy Holdings, LLC. We believe this is a positive development since it will result in approximately $90 million for services to be paid to Whitefish in two installments, and approximately $6 million administrative claim relative to mobilization and demobilization, invoices and administrative claim of approximately $34 million for interest on past due invoices. While this has been an encouraging development, we have still -- we still have work to do for us to get paid. And it continues to be apparent to us that the only way to change PREPA's behavior is to hold them accountable. We urge our stakeholders to continue to push the control board to hold PREPA accountable to meet its contractual obligations to pay its debt, which continues to accrue interest. Now let me turn the call over to Mark to take you through the financial performance during the quarter before we open the call to questions.
Mark Layton: Thank you, Arty and hello everyone. As I usually do, I'm going to take this time to provide additional details on some meaningful metrics and several key highlights. A detailed breakdown of our results can be found in our earnings release and in our 10-Q. Mammoth's total revenue during the first quarter of 2022 came in at $62.3 million as compared to $66.8 million during the first quarter of 2021 and $57.2 million during the fourth quarter of 2021. Decrease in revenue compared to the same quarter of 2021 is primarily attributable to a decline in storm activity, which resulted in lower storm restoration revenue. We are encouraged by the favorable macroeconomic landscape that surrounds our business segments. And we feel that our differentiated service offerings, along with our track record of operational excellence position as well to grow meaningfully in the coming quarters. During the first quarter of 2022, we pump 699 stages with approximately 1.6 fleets utilized on average. This average compared to an average utilization of 0.9 fleets during the same quarter last year, and 1.6 fleets during the fourth quarter of 2021. Our sand division sold approximately 329,000 tons of sand during the first quarter of 2022 compared to 171,000 tons of sand during the same quarter last year, and 270,000 tons of sand during the fourth quarter of 2021. The average price for the sand sold during the first quarter of 2022 was approximately $21.44 per ton as compared to $17.84 per ton during fourth quarter of 2021. The net loss for the first quarter of 2022 was $14.8 million as compared to a net loss of $12.4 million for the first quarter of 2021 and a net loss of $13.3 million for the fourth quarter of 2021. Adjusted EBITDA, as defined and reconciled in our earnings release was $9.3 million for the first quarter of 2022 as compared to $9.2 million for the first quarter of 2021 and $17.2 million for the fourth quarter of 2021. CapEx for the first quarter of 2022 was approximately $1.2 million. This is down from the $1.4 million of CapEx that we incur during the fourth quarter. However, as we've previously guided, we expect our spending for 2022 to be heavily weighted towards well completions in the back half of the year. We anticipate CapEx for 2022 to be approximately $12 million. As of March 31, 2022, we had cash on hand of $8.1 million, and debt of approximately $89 million, and our total liquidity was approximately $19.6 million. In conclusion, we would like to thank our 863 employees throughout the company for their hard work, dedication, and commitment to maintaining safe work sites for themselves and their teammates. As we look ahead to the remainder of the year, we believe that the macroeconomic environment surrounding industrials and oil and gas, coupled with our emphasis on efficient execution positions us to enhance stockholder value. Operator, we would now like to open up the call for questions.
Operator: Thank you. . There are no questions at this time, I would like to turn the conference back over to Rick Black for closing comments.
Rick Black: Thanks, operator. We believe the future is bright for Mammoth and our team members that we continue to strategically develop our service offerings to grow and deliver stockholder value in the years to come. This concludes our conference call. Thank you all for joining us. Goodbye.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.